Operator: Greetings and welcome to the Juniper Networks Second Quarter 2011 Earnings Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Kathleen Nemeth, Vice President of Investor Relations for Juniper Networks. Thank you, Ms. Nemeth, you may now begin.
Kathleen Nemeth: Thank you, operator. Good afternoon and thank you everyone for joining us today. Here on the call today are Kevin Johnson, Chief Executive Officer; and Robyn Denholm, Chief Financial Officer. Please remember when listening to today's call that statements made during this call concerning Juniper's business outlook, economic and market outlooks, future financial operating results and overall future prospects are forward-looking statements that involve a number of risks and uncertainties. Actual results could differ materially from those anticipated in these forward-looking statements as a result of certain factors, including economic conditions generally or in the networking industry, changes in overall technology spending, the network capacity requirements of service providers, the timing of orders and shipments, manufacturing and supply chain constraints, variation in the mix of products sold, customer perception and acceptance of our products, litigation and other factors listed in our most recent report on Form 10-K filed with the SEC. All statements made during this call are made only as of today. Juniper undertakes no obligation to update the information in this conference call in the event facts or circumstances subsequently change after the date of this call. In discussing the financial results today, Robyn will first present results on a GAAP basis and for purposes of today's discussion, will also review non-GAAP results. For important commentary on why the management team considers non-GAAP information a useful view of the company's financial results, please consult our 8-K filed with the SEC today. For the detailed reconciliation between GAAP and non-GAAP results, please see today's press release. In general, non-GAAP results exclude certain non-recurring charges, amortization of purchased intangibles, and other acquisition-related charges and expenses related to stock-based compensation. On today's call, Robyn will also be providing forward-looking guidance. As a reminder, guidance is provided on a non-GAAP basis other than that with respect to revenue and share count. All guidance is forward-looking, and actual results may vary for the reasons I noted earlier. GAAP guidance measures are not available on a forward-looking basis due to the high variability and low visibility with respect to certain charges which are excluded from the non-GAAP guidance estimates. Please note that today's call is scheduled to last for one hour, and please limit your questions to one per firm. With that, I will now turn the call over to Kevin.
Kevin Johnson: Thank you, Kathleen, and welcome, everyone. For the first half of 2011, Juniper has delivered strong year-on-year growth of 18%, with solid year-on-year growth of 15% in the June quarter. And though it did fall short of our expectations, we delivered EPS at the low end of our guidance range. There were many highlights in the quarter. Our service provider business grew 18% year-on-year. We saw solid growth in our routing and switching lineup. Our Enterprise business grew 9% sequentially, even with the decline in our SLT business. We continue to focus on the market trends at the mobile Internet and cloud computing. And during today's discussion, I'll comment on the current environment and why we are cautious about the second half, yet very optimistic about 2012 and beyond. I will also provide an update on key strategic innovation projects, design win momentum and an organizational announcement we made yesterday. In early June, I spoke at an investor conference and commented on some macro signals that we were seeing in the market. With continued news coverage of topics including the sovereign debt situation in Europe, rising unemployment in the U.S., softness in consumer confidence, the impact of the disaster in Japan and lower GDP expectations in many parts of the world, it is evident that people are trying to digest the macroeconomic signals and understand what impact they are having on the buying patterns of customers. These macro signals don't change the long-term demand equation for networking. The market trends of mobile Internet and cloud computing are strong and continue to drive demand. On a global basis, more people and businesses are connecting to the network and consuming more digital content. These market trends are consistent and are core to our growth agenda. Having delivered 18% year-on-year growth through the first half, I want to highlight some factors that make us cautious about the second half, yet optimistic as we enter 2012. As we look to the second half, there are 4 reasons to be cautious. First, service provider CapEx guidance for the second half is lower than historical seasonal patterns. The historical seasonal pattern for Tier 1 U.S. service provider CapEx has been 43% to 45% invested in the first half and 55% to 57% invested in the second half. Tier 1 service providers in the U.S. have guided 2011 CapEx at approximately 50% of spending in the first half and 50% in the second half, with a forecasted year-on-year growth of approximately 1%. This is a change to historical pattern. We see similar trends with the top 15 service providers globally. Second, the macroeconomic signals may impact enterprise and public sector spending near term. As governments and certain sectors of the enterprise look to reduce spending, there is a risk that this will impact IT budgets. Third, as Japan continues to recover from the March 11 disaster, there are questions on how quickly the focus will shift to capital investments in new projects. In our June quarter, we saw revenue from Japan decline by 24% from a year ago. Fourth, we had 2 very large customer deployments at the SRX a year ago, which created some lumpiness in growth for our SLT business. We're building a pipeline of new design wins to get SLT back on a growth path. There are also several reasons why we are optimistic as we enter the second half and set up for 2012. First, the market trends of mobile Internet and cloud computing are intact. The continued growth of smartphones, tablets and connected devices consuming more digital content, including video, is creating demand for network innovation. Service providers and enterprise customers continue to focus on large virtualized data centers to deliver both private and public cloud computing, and we are focused on the right market trends. Second, our innovation agenda is on a path to release a phenomenal wave of new products. During the quarter, QFabric successfully completed several proof-of-concept tests with key customers. We have now entered the formal beta process with 5 customers up and running the end-to-end QFabric system on premise. We have also secured our first significant QFabric design win, and we are on track to release QFabric sometime around the end of this quarter. In addition, our T4000 core router is on track to release later this year. This is a significant step forward in our core routing platform, and we have already secured at least 4 major design wins for the T4000. The PTX Converged Supercore has experienced very positive response from customers. We are now in the beta process with 6 customers and have already secured our first design win. The PTX is expected to release in Q1 of 2012. During the quarter, we also released the MobileNext broadband gateway offering, which includes our GGSN, an evolved packet core gateway running on the MX 3D. We have a growing pipeline of opportunities, traction with customer trials and we secured our first design win. We have additional features that are being developed on the MobileNext product roadmap. We're very optimistic about the direction of the product family. Third, the number and size of design wins and partner buying shares are going. We have a portfolio of design wins in both service provider and enterprise that represent strategic projects that will unfold over the next 24 months. Robyn will share a bit more on the implications of these design wins in her comments. In addition to the examples I just provided, we have also secured several key Junos Pulse design wins that will expand our software footprint and contribute to our growth agenda. With products like QFabric, Converged Supercore, T4000 and MobileNext coming to market, we're gaining more attention and mind share from both our partners and our customers. Fourth, growth in our routing and switching platforms. This quarter, switching revenue grew 33% year-on-year and routing revenue grew 21% year-on-year. Growing these core businesses is creating momentum ahead of new product introductions, which sets us up well for the future. With 18% year-on-year growth through the first half of this year, we continue to drive hard against our multiyear growth agenda. We are aware of the macro signals that our customers see, yet we are optimistic about our position going into 2012. We are making very good progress on the strategic innovation agenda. We are generating strong customer interest in securing key design wins. We also announced some key management changes yesterday in alignment with our strategy. In February this year, we aligned our systems division under the leadership of Stefan Dyckerhoff. Yesterday, we announced the creation of the software division, which will be led by Bob Muglia. Bob joins Juniper from Microsoft, where he was most recently the president of the server tools division. Stefan leading the systems division and Bob leading software division enables us to drive our innovation strategy to expand both our systems portfolio and to move up the stack with software. In addition, we made some tuning of executive assignments with Gerri Elliott now leading sales, John Morris leading strategic alliances and Mark Bauhaus leading services. These changes leverage the unique talent of each of our executives in alignment with our strategic objectives. In summary, we delivered year-on-year growth of 15% in the second quarter and an 18% growth for the first half. We are cautious about the second half, yet very optimistic about our position going into 2012. We look to grow faster than the market in 2011, while strengthening the innovation portfolio as we set up for 2012. I'll now hand off to Robyn.
Robyn Denholm: Thank you, Kevin, and good afternoon, everyone. In the June quarter, we delivered 2% sequential and 15% year-over-year revenue growth, which was short of our expectations. Through the collective efforts of our employees, we diligently controlled expenses and posted EPS at the low end of our expectations. At a high level, our business in the second quarter was impacted by the following factors: First, the macroeconomic environment is not improving at the pace we expected when we outlined our operating principles for the year. Second, demand for our SLT products was lower than we expected. Third, demand from service provider customers, while strong, was not as robust as we anticipated. And fourth and as expected, we saw some impact from Japan. Looking at the demand metrics for the quarter, book to bill came in above the first quarter, but slightly under 1 at 0.98. This was due primarily to weaker than expected service provider bookings. Total deferred revenue decreased by $20 million to $930 million. This decrease was evenly split between services and products. Whilst these metrics point to continued difficult conditions in the near term, we had many design wins this quarter, some of which will start deployment late in the fiscal year. Total deferred revenue is up over 21% year-over-year. We are confident that our strategy and our solutions portfolio position us well going forward. We will continue to aggressively control expenses, while preserving the investments that support our long-term growth agenda. Coupled with a strong focus on execution across our business operation, we believe this is the right approach to properly address the current environment. Now, a review of the numbers. Total revenue for the second quarter was $1,121,000,000, up 2% sequentially and 15% year-over-year. As I mentioned earlier, revenue growth was below our expectations due to the relative weakness in enterprise security demand and lower than expected demand from our U.S. service providers. This was partially offset by strength in enterprise switching, including our wireless LAN products and routing. In the quarter, there were no customers who accounted for more than 10% of total revenue. For the second quarter, GAAP diluted earnings per share were $0.21, and non-GAAP diluted earnings per share were $0.31. Both results were an outcome of the combination of revenue and gross margins being lower than expected, and this was offset slightly by prudent OpEx controls. Included in both the GAAP and the non-GAAP diluted earnings per share for the quarter is a $0.02 dilutive impact from debt-related net interest expense. Now let me provide you with some color on revenue by region, business segment and market. In the second quarter, the Americas were approximately 52% of total revenue, EMEA was 29% and APAC was 19%. Americas revenue was roughly flat with the first quarter, as service provider softness was offset by strength in enterprise routing and switching. On a year-over-year basis, Americas was up 17%. EMEA revenue was up 10% sequentially, with particular strength this quarter in Spain and Russia and up 14% year-over-year. Design wins in routing earlier in the year are beginning to gain traction and add to our results. In APAC, revenue declined 3% sequentially but rose 9% year-over-year. The sequential decline was primarily due to Japan, which declined 34% sequentially and 24% year-over-year. However, we did see strength in China and Korea during the quarter. Now looking at revenue by segment, infrastructure revenue was $884 million, 3% higher than the first quarter and up 23% year-over-year. Within the segment, total router revenue was $762 million, up 2% sequentially and 21% year-over-year. This was driven by strength in Edge, offset by some softness in core. Total MX product revenue was $279 million, slightly below Q1, but up 87% year-over-year. T Series was down sequentially in the quarter, as customers await our T4000 and PTX products. Our T4000 products, as Kevin mentioned, are on track to begin shipping late this year and we've increased the number of PTX beta trials due to strong customer interest. Total switch revenue was $122 million, up 16% sequentially and 33% year-over-year. EX product revenue was $104 million, up 15% sequentially and 18% year-over-year. This was driven by strong sequential growth of the EX42 [EX42000] and EX4500 products. Wireless LAN product revenue was $12 million, up 35% sequentially. Moving on to the SLT segment. Revenue for the quarter was $237 million, a 4% decline from the first quarter and an 8% year-over-year decline. We saw sequential and year-over-year growth in the branch SRX, but saw softness in enterprise security, primarily in the financial services sector. The year-over-year decline was primarily attributable to high-end firewall and high-end SRX product. SRX products revenue in total was $62 million, up $1 million from the first quarter, and this was driven by the increase in our branch SRX product family. Year-over-year, SRX declined $13 million, primarily due to lower service provider revenue. This quarter, we had good design wins with both Media Flow and Pulse products. We're seeing solid traction with customers and won a significant multiyear Pulse deal and a Media Flow deal with a major U.S. Tier 1 service provider. Our global pipeline is strong. We expect to see further wins in upcoming quarters and revenues later in the year as the deployments of these design wins start to roll out. We continue to build momentum from our Trapeze, SMobile, Ankeen and Altor acquisitions. As we integrate them into our solution offerings, we are seeing good design wins that are contributing to our financial and strategic goals. Looking more closely at the markets we address, service provider revenue was $730 million, down 2% sequentially due to the anticipated impact of Japan and lower than expected demand from our Americas service providers. Service provider revenue increased 18% on a year-over-year basis due to broad strength in the Americas, EMEA and APAC. Enterprise revenue was $391 million, up 9% sequentially as well as year-over-year. This was due to strength in routing and switching and it was offset by weakness in SLT. For the quarter, service provider was 65% of total revenue and enterprise was 35% of total revenue. Now moving on to our margins and operating expenses. Non-GAAP gross margins declined to 65.6%, which is below our guidance range. This was due to unfavorable product and services margins. Product gross margins were 68.1% of product revenue, or 2.5 percentage points lower than the first quarter and about 2 percentage points lower versus a year ago. Product margins was negatively impacted by mix, due to the lower volumes of SLT and T Series products and also due to higher overhead costs. Services gross margins were 55.7%, down 1.8 points from the prior quarter and 3.6 points lower than the second quarter of the prior year. Service margin performance was impacted by increased maintenance and support resources, as well as increased professional services personnel dedicated to design wins and our large service provider customers. Non-GAAP operating expenses for the second quarter were $493 million, which was slightly lower than the first quarter and were favorably impacted by cost reduction measures including lower variable compensation. Year-over-year operating expenses increased by 14%. R&D expenses were down 3% from the prior quarter. The teams have controlled expenses very well as we continue to focus on getting the next wave of strategic products to market. Sales and marketing expenses were 1% lower on a sequential basis. However, we continue to invest in building our sales force in order to enhance our go-to-market capability. G&A expenses were almost flat sequentially and were 6% lower than the 2010 second quarter. Non-GAAP operating margin for the quarter was 21.6%, down 70 basis points sequentially. We remain agile in our ability to curtail spending in any given quarter, enabling us to balance the short-term trends with the longer-term strategic needs of the business. Looking at operating margins by segment, infrastructure operating margin was 23.7%, down 80 basis points compared to last quarter and down 150 basis points compared to the second quarter of last year. Infrastructure operating margins were affected by lower gross margins, and these were partially offset by lower operating expenses. And as a reminder, the Infrastructure segment includes routers, switches, MobileNext and QFabric. SLT operating margin was 13.8% compared to 14.7% in the prior quarter and 20.4% in the second quarter of 2010. Operating margins in SLT were impacted by lower revenue and lower gross margins, due primarily to mix. The GAAP tax rate was 26.5% for the quarter and the non-GAAP tax rate was 26.8%, and both were consistent with our expectations. Looking at the balance sheet. We ended the quarter with total cash and investments of approximately $4.2 billion. DSO was 39 days in the quarter compared to 38 days in the prior quarter, and this was on strong collections. Cash flow from operations was $318 million, up substantially from the prior quarter. This has benefited from the timing of cash collections, as well as the refund relating to the timing of last year's R&D tax credit. We expect to continue our organizational focus on strong cash flow generation, complemented by the prudent deployment of capital. During the quarter, we repurchased approximately 3.9 million shares at an average price of $38.94 per share or approximately $150 million. Our weighted average shares on a diluted basis for the quarter were 546 million shares, a decline of 2 million from the prior quarter. CapEx totaled $62 million, up $8 million from the first quarter as we continue to build out our corporate campus here in Sunnyvale. Depreciation and amortization was approximately $42 million and consistent with prior quarters. We ended the quarter with approximately 9,300 employees, an increase of over 200 from the prior quarter. While cognizant of the realities of the near-term environment, we continued to move forward on the priority investments in sales, customer service and engineering headcount. Now let's discuss our guidance. As a reminder, guidance is provided on a non-GAAP basis except for revenue and share count. As I highlighted in my opening comments, we believe the long-term fundamentals of our business remain healthy. However, the economic recovery has not progressed as we anticipated at the beginning of the year and the near-term environment warrants a careful approach. While we have many design wins in the first half of this year and our overall pipeline is healthy, many of these opportunities will not begin deployment until late this year or early next year. And as a result, we are lowering our outlook for the full year. Our guidance for the third quarter of 2011 is as follows: We're expecting revenues to range between $1,070,000,000 and $1,120,000,000. Gross margins for the third quarter are expected to range between 65% and 67%, which is slightly below our long-term range, primarily due to product mix. Operating margins for the third quarter are expected to be in the range of 19% to 21%. We will continue to be diligent in our expense controls, but we expect a slight increase in operating expenses for the third quarter. This would result in third quarter non-GAAP EPS of between $0.26 and $0.30 per share and assumes a flat share count, a tax rate of 27% and includes a dilutive impact of approximately $0.02 due to the net interest expense from our Q1 debt issuance. Given the changes in the environment we discussed earlier, the timing of design wins translating to revenue and the fact that we do not expect a recovery in demand from our customers in Japan until late in the fiscal year, we expect revenue for the full year of 2011 to grow in the range of between 12% and 14%. In summary, while we're not satisfied with our Q2 performance, we still generated solid year-over-year growth. We took decisive actions to reduce expenses, and we delivered good profitability. We believe our strategy, as well as our solutions portfolio continue to position us well for the future. And I want to thank our fantastic employees for their dedication and hard work. And with that, I will hand it over to the operator for questions.
Operator: [Operator Instructions] Our first question comes from Nikos Theodosopoulos from UBS.
Nikos Theodosopoulos - UBS Investment Bank: I wanted to ask about the gross margin. You gave some good color on how the mix impacted it, but I wanted to go into that a little bit more. On a sequential basis, can you elaborate on what happened in the routing and switching components of gross margin? And if there were declines there, are those kind of temporary or would you see them as reoccurring? Can you provide some insight?
Robyn Denholm: Yes, Nikos. In terms of the gross margin, what we saw quarter-over-quarter in routing, it was all to do with mix. As I said in my prepared remarks, we had a soft quarter in terms of T-Series for routing. Having said that, the overall routing quarter was relatively strong, so we had a good edge quarter in routing. The gross margins relative to their normal levels were quite high in their individual categories or quite reasonable in their individual categories. In terms of switching, there was no discernible difference in the gross margins for switching across the board. They were within the normal range.
Operator: Our next question comes from Simona Jankowski from Goldman Sachs.
Simona Jankowski - Goldman Sachs Group Inc.: I just wanted to understand some of the commentary around weaker demand in U.S. service providers. And it sounds like that was related to core routing and also to SRX. Why do you think of that weakness was related to the macro as opposed to your particular market share or design wins? And in particular, it sounds like there's a pause ahead of the T4000 and PTX. But if you haven't yet won the design wins for those 2 products within North America Tier 1 service providers, then how do you know that the weakness in the core routers is not just a share loss there as opposed to either timing or macro?
Kevin Johnson: I guess I'll make a couple of comments. First of all, as the Tier 1 service providers have commented in their earnings calls, a lot of their focus in their capital investments went into things like radio access networks, cell towers and mobile backhaul. And as they make those investments, that then drives the traffic growth into the Edge and into the core. So part of this as a little bit of timing on where it puts pressure on Edge and core, which creates demand for us. That's number one. Number 2, we had, in the SLT business, a significant deployment of SRX, high-end SRX, with a large Tier 1 U.S. service provider a year ago, which created a very high comparable for the SLT business looking year-on-year. And so that certainly had impact in our SLT growth. And then number 3, the guidance that Tier 1 U.S. service providers have given for second half capital expenditures starts to change the historical pattern of what we've seen over the last several years. I think if you look at their first half actuals plus second half guidance, I think it shows about a 1% year-on-year growth in total CapEx. And it shows the distribution is about 50% in the first half and 50% invested in the second half. And as a difference in the historical pattern of typically 43% to 45% in the first half, and then back in second half of 55% to 57%. So that's prompted us to be more cautious about the second half. Yet as we commented, we had a good Q2 growth of our Service Provider business at 18%.
Operator: Our next question comes from Ehud Gelblum from Morgan Stanley.
Ehud Gelblum - Morgan Stanley: Robyn, you said that full year guidance of 12% to 14% for the top line. You've also spoken in the past about guidance in the operating margin line of being up this year over last year. My guess is that's not really going to happen anymore. But as you now see the world, if you can give us a range on what operating margin looks like now under your new revenue assumption, what kind of maybe a range? Is it 22% to 23%? Is it 20% to 21%? How does that work out for this full year? And then I noticed the MX was down, which I couldn't quite put the MX into being down into the categories that you've put them in. I mean, you talked about them; I'm guessing maybe it was the U.S. service provider weakness that caused the MX to be down. But I'm wondering if you think that's a little bit more on the competition side now that Alcatel-Lucent's coming in with another Edge router? Or if you think it has more to do with these CapEx types of issues you were talking about?
Robyn Denholm: Yes, so in terms of the full year at 12% to 14%, I think the factors that we've talked about in terms of being cautious in the near term all apply. In terms of the full year operating margin guidance, our operating principle was that we would expand operating margin for the full fiscal year. We do not believe that, that will happen now. So the answer to that is we will not expand operating margins for the full fiscal year. In terms of the third quarter, I gave you the range of 19% to 21%. We expect improvement in the fourth quarter from that point, and we'll give you more color on that as we move forward here. In terms of the MX, we're very confident with our MX portfolio. We know the product is very competitive out there. We've got lots of design wins, some of which have not started to deploy yet and the quarter-over-quarter sequential was relatively modest in terms of the decline. So I put that more down to timing of the deployments that we still have in terms of the commencement of those starting as we move forward throughout the year.
Kevin Johnson: Just to add to that, I think year-on-year, the MX growth is something like 83% -- 87%, Robyn says. So we've seen MX growth year-on-year 87%. The other comment I would add, Ehud, is that in our partnership with Ericsson, with Ericsson's GGSN that runs on our M Series, we saw a very strong quarter of our M Series in the partnership with Ericsson. And we view that as a positive thing, and that's why I think we've seen good growth on the Edge market overall.
Operator: Our next question comes from Mark Sue from RBC Capital Markets.
Mark Sue - RBC Capital Markets, LLC: Maybe if you can talk about linearity and linearity going forward, are you starting to see longer evaluation cycles? Are deal sizes getting smaller? Is the increased competition delaying some closure rates, and just kind of dynamics on how the business is now being done as versus before? And Robyn, I don't think we got a sense of kind of your long-term operating margin targets.
Kevin Johnson: Let me take the first one, and then I'll hand off to Robyn, Mark. First of all in terms of changes in sort of the selling dynamic, we're not seeing longer sales cycles. We've got -- in many of these large projects, they are a long sale cycle anyway, and I don't see that being extended. I do see that as part of these design wins, certainly, several of these design wins include products that are on the roadmap to ship. For example, in the area of the PTX, the design wins around PTX typically have the combination of the PTX plus T Series, plus the MX, and so it's an architectural solution. And so part of that is getting to the point where we're -- you're shipping the T4000, shipping the PTX. But I view that as positive because we are solving customer problems in very unique ways. So I don't see the sales cycle being elongated. I see that some of these design wins have the products that are in the roadmap to ship here over next couple of quarters. And so that might have some implications on how our timing of when these big deployments hit. The one thing that we did observe in Q2, certainly at the very end of the quarter, we had line of sight to a set of opportunities that we felt some percentage of those would close in Q2. And a portion, certainly, there was a number of those opportunities that did not close in Q2, but they did close very early, a percentage closed -- a high percentage closed very early in Q3, which is a signal to me that customers are being very aware of the macro situation and deciding which side of the quarterly boundary they want to land their capital expenditures on. And certainly, it's nowhere near extreme as it was in 2009, but I saw similar types of behavior in 2009 and I saw a little bit of that in Q2. Robyn, I'll let you comment on the second question.
Robyn Denholm: Yes, so on the operating margin, obviously for the full fiscal year of 2011, we don't think we will achieve our operating principle of expanding the operating margins for the full year. Having said that, we believe that 25% in terms of the operating margin or higher is definitely still the target from a long-term perspective. And there are many things that we're optimistic about in terms of revenue growth. I think if you sit back, we're focused on driving revenue growth, which then yields the 25% operating margins that we've been targeting the company at. And many of those products and many of those solution sets are nearing coming to market. So we feel very good about that.
Operator: Our next question comes from John Marchetti from Cowen and Company.
John Marchetti - Cowen and Company, LLC: I just wanted to ask Robyn, in terms of sort of the full year guidance that you gave of the 12% to 24% -- excuse me, the 12% to 14%, that obviously implies a fairly significant quarter-over-quarter ramp as we go into 4Q. Just curious and sort of embedded in that guide, how much is related to the design wins that you're referring to? How much is related to Japan coming back? And how much is just related sort of to the overall macro piece improving, as we get a little bit further into the year?
Robyn Denholm: In terms of the 12% to 14%, at the midpoint of guidance at 13%, we are expecting many of the -- well, a lot of the design wins that I talked about starting in the last part of the year or later in the year to commence deployment in the fourth quarter. We're not expecting a return to demand in Japan to normal levels in the fourth quarter. We think that's more likely the first part of next year. So it's really a commencement of the design wins that we have, as well as switching growth as we move forward as well.
Operator: Our next question comes from Ittai Kidron from Oppenheimer & Co.
Ittai Kidron - Oppenheimer & Co. Inc.: I did want to follow up on that. Robyn, if you look at the midpoint of your September quarter, it is sequentially down from June. Can you give us some color as to what product areas you expect would be declining sequentially from June to September versus rising? And as we think into December quarter, also where do you expect most of the recovery to happen versus still seeing some challenges?
Robyn Denholm: So Ittai, I think in terms of routing, we are expecting a low single-digit decline in routing overall, primarily the service provider sector there, as these design wins still are not coming to fruition in terms of the timing of those. We expect most of those to happen in the fourth quarter as I've sort of alluded to before. So sequentially down low single digits for routing. Enterprise growth primarily all related to switching, we expect flat to slightly down in terms of SLT for the third quarter in enterprise. And so that actually at the midpoint has us down at 2% quarter-over-quarter.
Operator: Our next question comes from Brian Marshall from Gleacher & Company.
Brian Marshall - Gleacher & Company, Inc.: Just a follow-up on the 2 previous questions, I'm calculating 19% implied sequential guidance for the December quarter. I think over the last 5 years, your average for sequential growth in December has been about 8%, so obviously a pretty big bump up there. Can you talk a little bit about some of the key factors within service providers as well as enterprise which are really going to drive that revenue to get it up to that level? And kind of what gives you the confidence around that?
Robyn Denholm: I think if you look at the midpoint of guidance, 12% to 14%, obviously the midpoint is 13%. And at the midpoint for the third quarter, it's a sequential 2% decline. So the fourth quarter, we have the midpoint at 18% quarter-over-quarter increase. If you look at last year, we actually did about 18.5%. So our sequential increase from third quarter to fourth quarter over the last few years has been in that sort of range of 18% to 20%. And the factors that will influence that is routing deployments in the fourth quarter, as well as enterprise revenue growth in switching between the third and fourth quarter as well.
Operator: Our next question comes from Tal Liani from of America Merrill Lynch.
Tal Liani - BofA Merrill Lynch: Just a follow-up before, just a clarification. Last year, I know you just quoted the numbers for last year 4Q sequential growth, but it included an accounting change. And if we remove the accounting change, the growth was 12%.
Robyn Denholm: Tal, the accounting change was a year ago. It was the beginning of Q1 of 2010.
Tal Liani - BofA Merrill Lynch: Right, but you provided in the K, you provided the accounting change for each and every quarter, and there was a major increase in the accounting impact in the fourth quarter. It was basically half of the annual change. So if I remove the accounting change from both 3Q and 4Q and recalculate the growth, I'm getting -- I just don't want to apply growth to the accounting. I'm getting a much lower growth. And the question here is whether on one hand, 3Q is down sequentially. On the other hand, which is abnormal kind of on the other hand, 4Q seems to be above normal trends. Does it mean that there were some push-outs or something that leads you to believe that fourth quarter should, in addition to regular seasonality, should compensate for the decline in 3Q. That was my question.
Robyn Denholm: So I think at a high level, the first thing in terms of the third quarter, we do view that as a sideways-to-down quarter in terms of revenue from the second quarter. And that's not our normal seasonal pattern, as Kevin mentioned before. Normally, we have a sequential increase. And so there is some timing related to design wins deploying later in the year. I would actually go back and have a look at the calculations, the year-over-year growth, because the third quarter last year, there is no impact from the accounting. The accounting actually started at the beginning of the fiscal year. So all the way through last year, there were new deals that were accounted under the new revenue recognition. They're not old deals that have changed their accounting treatment. So they were new deals in the third quarter. So the real way to look at year-over-year growth for the third to fourth quarter for last year is 18.5%.
Operator: Our next question comes from Simon Leopold from Morgan Keegan & Co.
Simon Leopold - Morgan Keegan & Company, Inc.: I wanted to see if you could touch on your OEM partnerships, in particular IBM and Dell, and if you could give us a little bit of color on your thoughts regarding Dell specifically, given their plan to acquire an Ethernet switch vendor.
Kevin Johnson: First of all, the partnerships we have with our alliance partners continue to grow and continue to do well. And that includes Nokia Siemens Networks, Ericsson, IBM and Dell. And certainly you said the OEM relationships, we have OEM relationships with certainly Ericsson; that's doing very well. Their GGSN on our M Series, we commented on the growth there. The relationship with IBM has an OEM component. And the piece that's been growing has been IBM reselling Juniper-branded equipment. So our growth is really on the resell components of Juniper-branded equipment, and the same with Dell. The growth has been in the Dell partnership, it's been reselling Juniper-branded equipment versus the OEM version. So the partnerships are good. The OEM-branded version is not where the growth is coming. It's coming from those partners reselling, IBM and Dell specifically reselling Juniper-branded equipment. The second part of your question is related to Dell's announcement to acquire Force10. I spoke with Michael Dell before that came out. He gave me a call, and we had a discussion around both of our -- and have an intent to expand or to continue this partnership. And look, I acknowledge it will make it more complicated because there's more overlap in the product line. But the fact is that we also have products that go into the solution that are complementary to what Dell would be doing with Force10 and their other products. And it's our intent to continue to focus on how to create a good partnership with Dell built on the foundation that we have established thus far.
Operator: Our next question comes from Brian White from Ticonderoga Securities.
Brian White - Ticonderoga Securities LLC: I'm just wondering, how should we think about revenue recognition for QFabric, MobileNext and in T4000 this year? And what type of a ramp can we expect in the first half of next year?
Robyn Denholm: So in terms of QFabric, we'll get some revenue this year, but as we said consistently, it will be relatively modest this year. In terms of T4000 and PTX, the T4000 will start shipping this year. We're expecting revenue in the first quarter of next year. In terms of PTX, it will start shipping in the first quarter of next year.
Operator: Our next question comes from Jeff Kvaal from Barclays Capital.
Jeffrey Kvaal - Barclays Capital: Kevin, I was wondering if you could spend a little bit more time talking about the migration from EX to QFabric? How that's coming along? Just off the top of my head, 5 beta trials seems like a fairly modest ramp, relatively speaking.
Kevin Johnson: Sorry, Jeff, you're breaking up a bit. Could you repeat the question please?
Jeffrey Kvaal - Barclays Capital: I was wondering if you wouldn't mind going into the migration from the EX to QFabric; how that is progressing and how comfortable you are with the QFabric trajectory.
Kevin Johnson: First of all, EX and QFabric can coexist. So customers who have implemented an EX environment configuration can now install QFabric and have the 2 coexist, as they decide what portion of their data center they want to run in Fabric mode versus what portion they want to run in our 2-tier architecture based on the EX. So I think from that standpoint the way we've architected the product in the roadmap for customers, there's a very smooth way for customers to decide how fast or how slow they want to go in the migration from an EX environment to a QFabric or from a competitive switching environment to QFabric for that matter. We've made it very easy for customers to do that migration, and I feel very good about the approach that our engineering and services teams have taken. The second part of your question might be how we feel about the progress that we're making with QFabric. And I think given the fact that in Q2 we successfully completed the 3 proof-of-concept tests with customers and we're now in the beta process, which we just started about 2 weeks ago and we're now running the end-to-end system with our 5 beta customers and we're on path to look to ship that product around the end of this quarter. So we feel good about the progress we're making. We feel good about the pipeline. We feel good about the fact that we've now got even our first significant design around QFabric. That's been result of the proof of concept and these betas. So I think we're setting the foundation to have a very highly differentiated solution for data centers for both private, public clouds. As we go into 2012, that solution can interoperate with our EX and with our competitive -- our competitors' switching environments. So we've got -- I think we've got a good opportunity as we look forward.
Operator: Our next question comes from George Notter from Jefferies & Co.
George Notter - Jefferies & Company, Inc.: I was hoping to ask about the PTX specifically. Any evidence in your conversations with customers or activities that you're able to put the PTX into core routing networks that are based on Cisco core routers?
Kevin Johnson: Certainly, the way the PTX is architected is to interoperate with industry standards. And so there's nothing that would prevent it from going into an environment where there is a competitive install of a core router. The early design wins that we've seen, however, are typically solutions that involve the PTX plus the T4000 plus the MX targeted some very unique scenarios. So there's nothing that would prevent us technically or from a go-to-market standpoint to selling PTX to customers that have non-Juniper technology in the core. Yet what we're finding is that there is great value that we have in synergy across the product line in these early design wins.
Operator: Our next question comes from John Slack from Citigroup.
John Slack - Citigroup Inc: Robyn, you reiterated your 25% or higher operating margin target. I'm wondering where you feel you shake out in the longer-term growth target. Is still greater than 20%? And then maybe you left out the color on the MX 3D. Maybe we can get a little color on how the MX 3D is doing this quarter.
Robyn Denholm: So in terms of the long-term model, I mean we talked about it on the call. We feel really good about the long-term in terms of the growth opportunities that we have ahead of us with the product cycles that we have. In terms of specific color about next year's growth, we will do that late in this year or early next year as we get ready for setting up for the 2012. But I think if you look at the model, the model is about optimizing the top line growth with the market opportunities that we see ahead of us, as well as being efficient and effective with our use of resources to drive that 25% operating margin. In terms of MX 3D, I did give the number. The total MX was down slightly quarter-over-quarter and up significantly year-over-year. And it was really around the timing and deployment of the design wins that we have. So it was a normal type of thing that you have with deployments of a fast ramping product.
Operator: Our next question comes from Jayson Noland from Robert W. Baird.
Jayson Noland - Robert W. Baird & Co. Incorporated: Kevin, a question on SRX and your thoughts on your high-end SRX pipeline and recent weakness. Is that a function of competitive pressure or maybe mis-execution versus micro related issues?
Kevin Johnson: Yes, I think first at the high-end SRX, the most significant factor in that was the very significant comparable we had from a year ago of a very large Tier 1 service provider in the U.S. doing a massive deployment of SRX. And so that large deployment created a very high comparable, which was the biggest impact on the overall SLT business. Second to that, I would comment that the branch SRX has done very well, and that leads then in enterprise data centers. In enterprise data centers, I think that we're seeing more competition. And I think, frankly, there's opportunity for us as we release QFabric to show the whole end-to-end solution that we have in these data centers that combines with what we've done with SRX then with the virtual gateway that runs in VMware and Junos Pulse on the client. So I think more competition related to data center. I think we've got a good path forward with what we're doing with QFabric and our data center architecture. We feel very good about the high-end value proposition for service providers. And even as they move to LTE, there's new technology that we're building into the SRX to enable that architecture for LTE as they switch from 3G to LTE. So we feel good about where we are in high-end SRX. The service providers feel good about where we are with branch SRX and branch and campus. Acknowledge we're seeing more competition in enterprise. But I think with what we're coming to market with QFabric and how we stitched together the end-to-end story of what we're doing to secure the client, secure the network and secure within the VMware servers, why we think we've got a very good competitive story.
Operator: Our next question comes from Rod Hall from JPMorgan Chase.
Rod Hall - JP Morgan Chase & Co: I just had one clarification and quick question. The clarification is on the 5 beta trial for QFabric. I wonder if you can say how many those were web services type companies and how many are type B compute applications like exchanges and universities, just to give us some idea what the spread of those trials look like? And then my question is on EMEA, I guess it was counterintuitive to see the revenues there up as much as they were, even though I guess you guys did call out a good pipeline in Q1. So I guess that was coming through in Q2. Can you talk a little bit, though, about what the distribution of revenue across regions might look like in Q3 and Q4? So you think EMEA will be weaker and the other 2 regions stronger? Or any color you can give us on that would be interesting.
Kevin Johnson: I'll take your first question on the QFabric betas, and then I'll hand off to Robyn to comment on EMEA. On the QFabric, the 5 betas that we have, I would characterize it as a mix of large service providers and large enterprise customers. These are going to be the types of data centers and the types of demand that QFabric is very well suited for. It's not -- I frame it that way, is high-end enterprise customers that have demand for that and as well as service providers that are moving into the business of managed services and providing cloud-based computing services. And it's a very good mix. On the EMEA question, I'll hand off to Robyn.
Robyn Denholm: On the EMEA question, Rod, you're right. We actually saw strength in the quarter, and they're related to the design wins that we had late last year, early this year. And so we do have EMEA as one of the areas for caution as we move forward, just given the entire macro perspective there. Having said that, we are doing well with service providers in EMEA, and we do have other design wins that will start rolling out later in the year. But in terms of enterprise, we are cautious on enterprise in EMEA pretty much across the board.
Operator: Our next question comes from Paul Silverstein from Crédit Suisse.
Paul Silverstein - Crédit Suisse AG: If I could ask a question or clarification. The question is, given that the relatively weak service provider CapEx environment that you called out, Kevin, it seems like it's unlikely to change on a global basis, on an annual basis, given the tight revenue environment, given the tight margin environment all these carriers find themselves in. And historically, I thought it was fairly decent divorce from your revenue relative to the overall macros related to carrier. I'm trying to reconcile your comments about design wins versus the macro headwinds you're seeing at the service provider level. The clarification, did you mention how many MobileNext trials design wins you have?
Kevin Johnson: Yes, let me take the question, Paul. In terms of the service provider, I'm not sure -- there are certainly macro things going on. For service providers, they're growing subscribers and they've got more smartphones, more tablets, more devices connected to the network. Independent of macro, there is more network traffic demand, and the focus that service providers have had, especially in the U.S., has been implementing more of the RAN or the radio access network components, the cell towers and the mobile backhaul. As that gets implemented then, there will be a phase that, that puts, brings that demand traffic into the Edge and core, which will then drive an upgrade cycle on Edge and core. So I think part of it is timing of where the build-outs are taking place. That said, your question about the fundamentals for growth in network traffic are unchanged. And that is what's driving continued demand for innovation in the area of network. And that's where innovation like PTX and T4000 and what we're doing with MobileNext and MX 3D comes into play. On the second part of your question around MobileNext, I commented on the fact that we've secured our first design win and that we have a number of customer trials in place. So the only comment that I made was on that first design win, and we just released that software here in the last 2, 3 weeks.
Operator: We have time for one further question. Our last question comes from the line of Bill Choi from Janney Capital Markets. [Janney Montgomery Scott]
William Choi: So back on SLT here. Can you address what looks to be a continual drag on the non-SRX products, the screen OS-based product? It seems to be accelerating on the downward trend and I'm not sure what the game plan is to really transition that base and create a scenario several quarters down the road where the overall SLT business revenue will go up. I guess you haven't had a screen OS upgrade since 2 years ago.
Robyn Denholm: So in terms of the strategy around the SLT products, the idea is to transition them over time from the net screen product, screen OS-based products to the Junos-based products. And so that transition has started. We have a very loyal customer base on the older products, and that's why that hasn't declined as much as you might think. And branch in terms of SRX, this quarter is a proof point of that. We actually did see a good sequential and year-over-year increase in branch as we start to make sure that the features and functionality are there for customers to adopt those going forward as their new platform.
Operator: I'll now turn the call back over to Ms. Nemeth for closing comments.
Kathleen Nemeth: We'd like to thank everyone once again for joining us this afternoon. This does conclude our conference call, and we look forward to speaking with you again in the future. Thank you.
Operator: Thank you. This does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation.